Manuel Stan: Good morning, good evening, everyone. Welcome to Catena Media's Q4 Interim Report. I am Manuel Stan, and today, I'm joined by our Chief Financial Officer, Mike Gerrow. Today, we will be speaking to our Q4 interim report, related financials and our strategy and outlook going forward. We will start today's presentation with a high-level summary of the most important developments in the quarter. I am pleased to see a solid quarter with growth in both revenue and earnings. Q4 amounted to EUR 15.6 million. This represents an improvement of 53% versus Q4 2024 and 34% versus Q3 2025. The adjusted EBITDA improved to EUR 4.7 million, an increase of 60% from the previous quarter as well as over 200% versus Q4 2024. The adjusted EBITDA margin improved to 30%, a 5 percentage points increase from the previous quarter and 15 percentage points stronger than Q4 2024. During the quarter, we continue to focus on operational efficiency and diversification. From revenue diversification perspective, Q4 represented another step in the right direction as our performance marketing verticals, CRM, subaffiliation and paid media continue to increase their share of group revenue. Our disciplined cost management approach continued in Q4 with year-on-year decreases as well as quarter-on-quarter decreases, when normalizing for exceptions. Direct costs increased in line with the performance marketing channels growth. From a geographical perspective, the share of revenue coming from North America increased to an all-time high of 98%, reflecting our focus on this geography. While we continue to evaluate other geographies, North America remains our core focus for the immediate future. While the quarter was overall positive for us, we recognized that regulatory uncertainties surrounding social sweepstakes casinos and the continued rise of generative search can present headwinds for future quarters. Moving on to operational developments. We have seen good results from our diversification efforts as both CRM and subaffiliation verticals recorded once more new highs during the quarter. To further accelerate the success of both CRM and subaffiliation verticals, in early January, we have launched enhancements in both areas. On January 13, we launched PlayPerks on 1 of our leading products, PlayUSA.com. This is a first-of-its-kind loyalty program in the Catena universe. The objective is to build engagement products, which lead to returning loyal users. We see high potential in this space and intend to expand the concept to other products in the coming quarters. On January 16, we launched -- we announced the launch of MRKTPLAYS+, which creates scope for deeper commercial partnerships by giving partners access to our expertise, marketing support and potentially investment capital. From tech perspective, we continue to invest in our central platform and continue the consolidation of our top-tier products. A good example of the benefits of this consolidation is the future launch of our loyalty program on other products as a single platform allows for faster rollout. The results of the Missouri launch have been soft, mostly aligned with our expectations. This was driven both by the size of the market and its neighboring already regulated states as well as our current soft sports position. In early October, we initiated the return-to-office program in our multi headquarters, which seized the minority of our workforce back in the office for at least 3 days a week. A similar return to office strategy will be implemented in our Miami hub starting in April 2026. Moving on to the organic search score. In Q4 2024, we started showcasing our average ranking score for the most important keywords across Catena Media's owned and operated products. We are pleased to see that the uplift shown after Google's June algo update has continued throughout Q4, reflecting the strength of our products and validating the team's strategy and execution. At the end of the quarter, we have registered the best average score for the full year. Towards the end of the quarter, Google launched its end of year major algo update and we are pleased to see that most of our products emerge positively from the update. We continue to see the aftershocks of the end-of-year update in Q1 with high levels of volatility. I will now hand off to Mike to give an in-depth update on our financial performance.
Michael Gerrow: Thank you, Manu, and good day. Looking into our Q4 financials. Q4 was a solid quarter that built on the progress made in Q3, 2025. Revenue was EUR 15.6 million, representing a 53% year-on-year increase and a 34% quarter-on-quarter increase. Adjusted for foreign exchange rate fluctuations, year-on-year revenue was up 68%. As Manu previously stated, North America contributed to 98% of group revenue in the quarter. Adjusted EBITDA was EUR 4.7 million, an increase of 211% from the same period in the previous year and a 15 percentage point increase in margin. Adjusted EBITDA increased 60% versus Q3 2025, representing a 5 percentage point increase in margin. Operating cash flows increased to EUR 1.4 million versus a decrease of EUR 200,000 in Q4, 2024. The quarter-on-quarter and year-on-year adjusted EBITDA growth was a further step towards recovery driven by a multichannel revenue growth and disciplined cost management. NDCs increased by 56% year-on-year, driven by stronger performance contributions from our core brands and from the growth of subaffiliate partners on our Marketplace platform. Moving on to our segment performance. In Q4 2025, our Casino segment contributed 89% of revenue with sports contributing 11%. I am pleased to see that our casino revenues grew by 81% versus Q4 2024 and 41% versus Q3 2025. This growth was spread across regulated and Sweepstakes casino operators. Another positive outcome was that this growth came from improvements in our top-tier products and positive developments in our diversification efforts to grow paid media, CRM and subaffiliate channels, as noted by the increase in direct costs. Casino NDCs increased by 117% versus Q4 2024 and by 87% versus Q3 2025. Adjusted EBITDA in our Casino segment increased by 52% versus Q4 2024 and increased by 63% versus Q3 2025, reflecting profitable growth of our core brands and subaffiliates engaged through the Marketplace platform. Our sports revenue decreased 33% versus last year to EUR 1.7 million. There was a 5% decrease versus Q3 2025. This reflects continued underperformance and the divestment of our esports products in late Q2 2025. The launch of sports betting in Missouri in December 2025 had a little effect on our sports revenue in the quarter. This reflects the market dynamics in the state, but also our [ subpar ] sports product offering, which requires further time and investments turn around. New depositing customers decreased 44% versus Q4 2024, but increased by a marginal 2% versus Q3, 2025. Adjusted EBITDA in sports grew significantly versus last year's losses to a healthy 38% margin. The growth in adjusted EBITDA is primarily related to the delivery of our cost optimization measures. Please note that the Sports segment loss in Q4 2024 was partially attributed to the remaining media partnerships that were operating at a loss for part of the quarter. Continuing on to our cost development. Our cost base increased to EUR 10.9 million in Q4 2025 versus EUR 8.7 million in Q4 2024. Our direct costs increased by 227% versus Q4 2024 and by 26% versus Q3 2025. This reflects our positive momentum in diversifying our revenue to include a larger mix of performance marketing channels, including paid media, CRM and subaffiliation. Excluding the increase in revenue driving direct costs, the cost base decreased by 14% versus Q4 2024. Personnel expenses decreased by 12% versus Q4 2024 and increased by 22% versus Q3 2025. But it's important to note that we recognized EUR 1.3 million of accruals in Q4 for the unexpected but welcome achievement of annual employee performance targets. In other words, we accrued the vast majority of the annual incentive programs in Q4 as it was not looking likely that these would achieve required thresholds earlier in the year. If we normalize personnel expenses to include these accruals, personnel expenses decreased by 38% versus Q4 2024 or 22% versus Q3 2025. We have added a gray section to the chart to separate the incentive program accruals versus the continued decrease of fixed cost personnel expenses over the quarters. Other operating expenses decreased by 18% versus Q4 2024 and increased by 33% versus Q3 2025. For items affecting comparability, we recognized a EUR 400,000 noncash gain in the quarter versus a EUR 700,000 cost in the corresponding period last year. The positive effects of items affecting comparability in the quarter resulted in a year-on-year EBITDA increase of 573% and a profit after tax of EUR 2.8 million versus a loss of EUR 1.4 million in the same period last year. Moving on to our financial position. Total operating cash flow from continuing operations was EUR 1.4 million in the quarter increasing from negative $200,000 in Q4 2024. Our resulting cash and cash equivalents balance at the end of December was EUR 9.3 million. We do not have any remaining debt instruments, but our hybrid capital security with a nominal value of EUR 44 million has interest cost of approximately EUR 1 million per quarter, sorry, EUR 1.4 million per quarter. As mentioned in the press release before the Q1 2025 report, we do not intend to redeem the hybrid capital security in the short term, and we have deferred making interest payments on this instrument. We have deferred the July and October 2025 as well as the January 2026 interest payments, and the accumulated deferred interest now totals EUR 4.0 million as of January 10, 2026. We expect to continue deferring additional interest payments and a direct available capital towards technology-driven initiatives that support revenue growth and strategic priorities. This position will be regularly reviewed and evaluated. I will now hand back over to Manu to give us an update on the strategy and outlook.
Manuel Stan: Thank you, Mike. After 6 quarters without any new state or province launches in North America, Q4 saw the launch of online sports betting in Missouri. For Catena, the financial impact was relatively modest, driven by both the size of the market with its neighboring states already regulated as well as our relatively soft sports current position. The overall North American market penetration remains low at approximately 50% for online sports betting and only 16% for online casino, indicating the remaining sizable future opportunity. The next significant market launch in North America is Alberta, which is expected to go live in the second half of 2026 with no concrete launch date at this time. Alberta will follow a model similar to Ontario, including both online sports betting and online casino, which represents a much more bigger significant opportunity for Catena versus Missouri. Moving on to our strategic focus areas. In 2025, our strategy was focused on 3 key pillars: people, product and profit. This will carry on to 2026 as we further refine the strategy, but remain focused on these 3 pillars. From a people perspective, the key initiatives in the recent periods included -- the launch of our hybrid working model, the return to office program initiated in early October, bringing all employees back in the office for at least 3 days a week in our multi headquarters and the similar return to office strategy, which will be implemented in our Miami hub starting in April. The continuous development of our OKR program following its implementation earlier in the year, the first company-wide bonds in several years will be awarded following the achievement of our annual performance criteria and up to 50 points, since Q2 2025, our employee Net Promoter Score now marks the year's peak, reflecting the tangible impact of our people-focused programs. From product perspective, the key initiatives included good results from our diversification efforts as our performance marketing verticals continue to grow their share -- their share of revenues for the company with CRM and subaffiliates recording once more new highs during the quarter. As mentioned earlier, after the quarter end, we have launched initiatives to further accelerate the growth in both CRM and subaffiliate areas with PlayPerks and MRKTPLAYS+ launched in January. The positive momentum recorded in SEO in Q3 continued into Q4 as during the quarter, we have registered the best average score for the full year. The tech migration work continued in the quarter, and now we have a majority of our Tier 1 products on our consolidated platform. Our third and last strategic pillar is profit. After a stronger adjusted EBITDA margin in Q3, we are very pleased to report a further improvement in Q4 up to 30%. This represents an improvement of 15 points versus Q4 2024 and 5 points versus Q3 2025. The margin improvement came as a result of both revenue growth and cost control. From a cost perspective, direct cost increased as a result of our efforts on performance marketing channels. Excluding the increase in direct costs, the cost base decreased by 14% from the same period the previous year. Personnel and other operating expenses are unlikely to see any material movement from the current baseline. Lastly, let us recap the key takeaways from our report. Q4 was our strongest quarter of the year, showing positive momentum for revenue growth as well as good cost control driven by a disciplined approach. Q4 revenue amounted to EUR 15.6 million. This represents an improvement of 53% versus Q4 2024 and 34% versus Q3 2025. The adjusted EBITDA improved to EUR 4.7 million, an increase of 60% from previous quarter as well as over 200% versus Q4 2024. The adjusted EBITDA margin improved to 30%, an improvement of 15% versus Q4 2024 and 5 percentage points versus Q3 2025. Our core search channel has seen good development during the quarter, reaching the best average score for the full year. The focus on revenue diversification paid dividends during the quarter with all our performance marketing channels, continuing the positive trajectory. We have deferred the July and October 2025 as well as January 2026 hybrid interest payments and the accumulated deferred interest now totals EUR 4.0 million. We remain cautious for the future quarters due to the potential headwinds posed by Social Sweepstakes Casino regulatory pressures and the impact of generative search trends. After the quarter end, we have launched initiatives to further accelerate the growth in both CRM and subaffiliation areas with PlayPerks and MRKTPLAYS+ launches in January. We are pleased with the Q4 performance, which was a welcome step forward. And as such, I would like to thank all our teams for their hard work and dedication. Thank you very much for listening. I will now hand over to Mike to move on to the Q&A section of our call and open up for questions.
Michael Gerrow: Thank you, Manu. I'll now open it up for any questions. [Operator Instructions] All right. It looks like there's no one, who wants to do a call-in question today. So I'll go to a few that we had submitted by writing. So Manu, the first question for you is how sustainable is this level of growth is Q4 an outlier?
Manuel Stan: Thank you, Mike. I think that in Q4, we benefited from a number of factors that came well together. First of all, we said that from organic search visibility perspective, we have reached the peak of the year, the highest level of the year. And equally, we talked about the diversification efforts that both CRM and subaffiliate have both reached the all-time high during the year. However, equally, we have to recognize that not every quarter will look exactly the same and reaching all highs in all different areas of the business was quite an unique position to be. However, the improvements are structural rather than one-off. And with the cost base normalized and with the diversification in the revenue mix, our products performed relatively well. I think last I would say that Q3 and Q4 grew at an accelerated rate compared to the relatively low baseline in the beginning of the year. We have reaffirmed our double-digit financial target growth for 2026, and that reflects the confidence in our trajectory, but we would probably expect to see a more normalized growth on a quarter-on-quarter basis than we have seen in the last couple of quarters.
Michael Gerrow: Thanks, Manu. Another question we got is, has the positive trend from Q4 continued into Q1? Kind of related to previous one.
Manuel Stan: Yes. Thank you, Mike. We're not disclosing any financial performance after the quarter end. But we did touch on a couple of things in our report. One, we touched on the search performance and we have said that after the quarter end, we have seen some aftershocks of the end-of-year Google algo update. We have seen high volatility and we haven't seen quite the same strong momentum carrying into Q1. So that's one thing to keep in mind. We will continue to see volatility. I suppose during the quarter. So we'll see how that will perform. Secondly, we said that in mid-January, we have launched PlayPerks on PlayUSA as well as MRKTPLAYS+, which obviously, we are expecting to continue to drive the growth of those 2 particular channels. So I think you see a mix of sentiments across the business. We will see where we will be in Q1, but so far, a mix, I suppose.
Michael Gerrow: All right. And we have another 2 here that came in. So the first 1 is, how will the Sweepstakes casino ban in California affect you in Q1?
Manuel Stan: I think we touched very briefly on it. While obviously, California is the largest states in the U.S. and will definitely have a negative impact overall in the Sweep segment. We do continue to see growth in other states in the U.S. as well as new operators coming in the market. So I do think that we will continue to see growth in the Sweepstakes segment in the near future. Obviously, there's the potential of other states regulating or changing the rules, and we'll see how that will impact the business. But so far, the interest or the growth in other states, combined with the interest from new Sweeps operators is pretty much covering for the losses in California. Secondly, I would say that there are other similar products. If we're focused on California or New York or States, where Sweeps are no longer allowed. I think we have a number of other products that are somewhat similar in emerging products. And we continue to build our database of players and try to monetize that by referring to new products. And I think the best examples include prediction markets or similar.
Michael Gerrow: Thanks, Manu. And 1 more question that came in was how can we perform better than peers in Q4?
Manuel Stan: Thanks, Mike. I don't think I can comment on our peers. But as we said, we're pleased with our performance in Q4, and we're even more pleased that, that performance, that growth came from both our own and operated that were driven by the SEO part by the improved rankings as well as the diversification of our business model. So -- we're pleased to see our growth. Nothing else to comment on the rest of the industry.
Michael Gerrow: All right. And there's 2 questions that came in about the hybrid. So I'll answer those ones. So the first 1 was regarding the hybrid capital security. Any plans soon to resume the interest payments. And so right now, no, we don't have any plans to continue to resume the interest payments, and we obviously deferred the interest payments in January. We're planning on directing the available capital towards technology-driven investments that support revenue growth and some of our strategic priorities. However, as the performance develops, we will continue to evaluate the right capital structure for the business, including the timing of any future interest payments and any other potential changes to that. And then the other related 1 that came in was what's your forecast for the deferral of interest payments and for the potential repayment or refinancing of the hybrid capital securities. And we don't have a defined forecast for deferring the interest payments as to when they may resume or may not resume. We are right now, after 2 decent quarters, happy to see cash generation increasing and being able to deploy that in areas that hopefully can continue that growth trajectory. However, we have not agreed upon a resumption of the interest payments at this point or any potential refinancing at this point? I believe that's all the questions that came through. I'm just going to check, if anyone's waiting on the line at this stage. Does not look like there are. So Manu, I'll hand it back over to you for any closing remarks.
Manuel Stan: Thank you very much, Mike. As we said, Q4 was our strongest quarter of the year, showing positive momentum for both revenue growth as well as good cost control, driven by our disciplined approach. Our search channel has seen good development during the quarter, reaching the best average score for the full year and the focus on revenue diversification paid dividends during the quarter with all our performance marketing channels continuing the positive trajectory. We remain cautious for future quarters due to the potential headwinds posed by Social Sweepstakes Casino, regulatory pressures and the impact of generative search trends. However, we are overall pleased with our Q4 performance, which was a welcome step forward. And as such, again, I would like to thank all our teams for their hard work and dedication. Thank you very much for joining today's call and look forward to hosting you for our Q1 2026 report on May 12, 2026. Thank you very much.